Operator: Good day, ladies and gentlemen, and welcome to the Ziff Davis Fourth Quarter and Year-End 2025 Earnings Conference Call. My name is Tom, and I will be the operator assisting you today. [Operator Instructions] On this call will be Vivek Shah, CEO of Ziff Davis; and Bret Richter, Chief Financial Officer of Ziff Davis. I will now turn the call over to Bret Richter, Chief Financial Officer of Ziff Davis. Thank you. You may begin.
Bret Richter: Thank you. Good morning, everyone, and welcome to the Ziff Davis Investor Conference Call for Q4 and fiscal year 2025. As the operator mentioned, I am Bret Richter, Chief Financial Officer of Ziff Davis, and I am joined by our Chief Executive Officer, Vivek Shah. A presentation is available for today's call. A copy of this presentation and our earnings release is available on our website, www.ziffdavis.com. You can also access the webcast from this site. When you launch the webcast, there is a button on the viewer on the right-hand side, which will allow you to expand the slides. After completing the presentation, we'll be conducting a Q&A. The operator will provide instructions regarding the procedures for asking questions. In addition, you can e-mail questions to investor@ziffdavis.com. Before we begin our prepared remarks, allow me to read the safe harbor language. As you know, this call and the webcast will include forward-looking statements. Such statements may involve risks and uncertainties that could cause actual results to differ materially from the anticipated results. Some of those risks and uncertainties include, but are not limited to, the risk factors that we have disclosed in our SEC filings, including our 10-K filings, recent 10-Q filings, various proxy statements and 8-K filings as well as additional risks and uncertainties that we have included as part of the slide show for this webcast. We refer you to discussions in those documents regarding safe harbor language and forward-looking statements. In addition, following our business outlook slides are our supplemental materials, including reconciliation statements for non-GAAP measures to their nearest GAAP equivalent. Now let me turn the call over to Vivek for his remarks.
Vivek Shah: Thank you, Bret, and good morning, everyone. For the full year 2025, Ziff Davis grew revenues 3.5%, adjusted EBITDA grew slightly, and the company generated almost $290 million in free cash flow. Given the headwinds that some of our businesses experienced, we're glad to have produced a year of growth, however, modest. We deployed $174 million, about 60% of our free cash flow in share repurchases throughout the year as we continue to view our own stock as a highly attractive investment. In the fourth quarter, we experienced a 1.5% drop in revenues and a 5% decline in adjusted EBITDA due to an 18% decline in our Tech & Shopping segment, offset by growth of over 6% in our 4 other segments. Tech & Shopping's revenues declined largely due to a drop in web search traffic, which had a meaningful impact on our affiliate commerce revenues. As a reminder, we earn affiliate commissions when a user clicks from one of our sites to a partner merchant site and makes a purchase. The highest quality referral traffic for an affiliate commerce business comes from search engines, which are generating lower referrals for us. We believe we can contain the damage through alternative sources of engagement over time as well as growing our video advertising and licensing businesses. In fact, the CNET Group saw video and social views grow 100% in Q4 and over 80% for full year 2025 to 1 billion views. Gaming & Entertainment revenues grew 1.5% in the fourth quarter, consistent with its full year growth rate. Humble Bundle Storefront had its best revenue quarter in 5 years. Humble Bundle achieved a huge milestone in Q4, celebrating its 15-year anniversary and over $275 million raised for charity to date. IGN Entertainment social growth and engagement continued in Q4 with Facebook views up 22% to 300 million and views on X up 19% to $45 million. IGN Store, which sells collectibles and gaming-related products, saw its total sales tripling. Between the store and Humble Bundle, our direct-to-consumer revenues reached almost $90 million in 2025. The Health & Wellness segment finished a year of record revenue and adjusted EBITDA with a strong Q4, growing year-over-year revenues 8.6%. Our AI-powered data activation tool, Halo, has now become a standard part of all of our pharma RFPs. Halo audience insights are used to inform campaign design to better engage target audiences, which leads to improved campaign performance. And it's all accomplished in a privacy safe way. Our Consumer Health business grew due to increased ad spend from core pharma clients, including new GLP-1 campaigns and growth in subscriptions for our Lose It! weight loss app. We believe that our Lose It! business is benefiting from the rapid market penetration of GLP-1 prescriptions as it's seen as an adjunct therapy to promote healthy eating. Our Professional business also had a strong quarter, driven by growth in the prime continuing medical education business. Connectivity also had a record fourth quarter with revenues up 11%. Speedtest, Downdetector and RootMetrics all experienced strong year-over-year growth in Q4, driven by new customers and increased service adoption by existing customers. Ekahau also produced solid year-over-year growth in Q4 with both enterprise and broadband service providers. Connectivity rolled out a major new product, Speedtest Pulse in the fourth quarter. Pulse is a handheld diagnostic device that empowers field technicians to instantly validate network installations and troubleshoot complex WiFi issues on the first visit, driving operational efficiency and reducing costs. This launch follows the introduction of Speedtest Certified, an independent network verification program that awards a globally recognized badge of excellence to commercial venues, allowing them to monetize their superior connectivity performance as a marketing asset to attract high-value guests and tenants. Both products are expected to contribute to meaningful growth in 2026. Cybersecurity & Martech revenues grew 2.7% in Q4. Growth was driven primarily by the cybersecurity vertical with strong organic performance from consumer VPN and cloud backup. Our momentum in cybersecurity reflects product enhancements, including the addition of threat protection and secure browsing to the IPVanish VPN and the launch of VIPRE integrated e-mail security, which is powered by an AI engine that detects threats such as e-mail compromise. Within the Martech vertical, we see opportunities to help brands profitably acquire and engage customers. Our e-mail business with its focus on first-party data and e-mail and SMS communication and Semantic Labs with its focus on efficient customer acquisition from paid traffic are both working to deliver on this value proposition. As we disclosed in our last earnings call, we have engaged outside advisers to assist us in assessing how certain potential transactions could unlock greater shareholder value. Our evaluation of potential strategic opportunities remains ongoing. As a result of that process, we have decided to defer issuing formal guidance at this time. But I do want to share some high-level thoughts about the outlook for our businesses in 2026. First and foremost, we are intently focused on delivering profitable growth and strong free cash flow generation in 2026, building on 2 consecutive years of great cash generation. While we expect Tech & Shopping revenues to continue the trend of double-digit revenue decline in the first half of 2026, we are forecasting improvements in the second half of the year via a combination of favorable year-over-year comps and benefits from increased off-platform engagement and growth in our licensing activities. For the year, we are expecting Tech & Shopping to be down mid-single digits in revenue. While we work to turn Tech & Shopping around, we're confident in our ability to continue to generate growth in our 4 other segments. In Gaming & Entertainment, Health & Wellness and Cybersecurity & Martech, we expect revenue growth of low to mid-single digits for full year 2026, and we anticipate continued double-digit revenue growth at Connectivity. Adjusted EBITDA margins for the Company should continue to hover around 34%. I know there's a great interest in updates regarding AI content licensing, and I wanted to share some observations. We are actively engaged in discussions with key players and the nature of these dialogues reinforces our confidence in the future revenue opportunities for content licensing. However, we are taking a deliberate principled approach to execution. The market is still defining the framework for appropriate compensation, specifically distinguishing between content used for model training versus content used for retrieval augmented generation or RAG. Our position is consistent. Both use cases require proper licensing. We will not enter into RAG-focused agreements that compromise our rights to fair compensation for foundational training. These are separate use cases with distinct value propositions, and our authoritative content must be valued accordingly in both contexts. We anticipate greater clarity on these fundamental licensing questions following the resolution of our ongoing litigation. Once established, we believe this clarity will unlock licensing opportunities and allow us to move forward with agreements that appropriately reflect the full value of our content across all AI applications. With that, let me hand the call back to Bret.
Bret Richter: Thank you, Vivek. Let's discuss our financial results. Our earnings release reflects both our GAAP and adjusted financial results for Q4 and fiscal year 2025. My commentary will primarily relate to our Q4 2025 adjusted financial results and the comparison to prior periods. Let's turn to Slide 5 for the summary of our Q4 2025 financial results. Fourth quarter 2025 revenue was $406.7 million as compared with revenue of $412.8 million for the prior year period, a decline of 1.5%. Fourth quarter 2025 adjusted EBITDA was $163.2 million as compared with $171.8 million for the prior year period, reflecting a 5% decline. Our adjusted EBITDA margin for the quarter was 40.1%. We reported fourth quarter adjusted diluted EPS of $2.56. This figure reflects the impact of our active share repurchase program. Turning to Slide 6. Let's review our fiscal year 2025 results. Fiscal year 2025 total revenue increased 3.5% to $1,451.3 billion as compared with the prior year. Fiscal year 2025 adjusted EBITDA increased year-over-year to $495.1 million. Our adjusted EBITDA margin for fiscal year 2025 was 34.1%. Adjusted diluted EPS was $6.63, up slightly as compared with fiscal year 2024. During a number of our recent quarterly calls, we have discussed how our Games Publishing business has negatively impacted our recent financial results. This was true again in the fourth quarter of 2025 as Game Publishing contributed negative net revenue of $2.5 million. However, during the fourth quarter, we took action and sold our Game Publishing business in a transaction that allowed us to recognize a book and cash tax savings associated with the loss related to the sale of the business while maintaining the right to certain future payments tied to the performance of the assets under their new management. We did not attribute a value to these payments at closing. And as a result, we will recognize them as investment gains if and when we receive them in the future. Our exit from Games Publishing achieved multiple benefits, including the elimination of the distractions associated with this noncore business line, which has also caused significant volatility in the quarterly results of our Tech & Shopping segment. Please note that this exit has no impact on the Humble Bundle Storefront in our Gaming & Entertainment segment. Slide 7 reflects performance summaries for our 2 primary sources of revenue, advertising and performance marketing and subscription and licensing. Q4 2025 advertising and performance marketing revenue declined 4.4% as compared with the prior year period, while fiscal year 2025 advertising and performance marketing revenue increased 5.9% as compared with 2024. Q4 2025 subscription and licensing revenue increased 4% as compared with the prior year period and fiscal year 2025 subscription and licensing revenues increased 2.2% year-over-year. Q4 2025 other revenues declined by $600,000 year-over-year, and fiscal year 2025 other revenues declined by $9.2 million. These changes both primarily reflect the impact of the Games Publishing business. Slides 8 through 12 reflect the quarterly and full year financial results for each of our reportable segments, which Vivek has already discussed in some detail. I will note a few additional items. 3 of our 5 segments grew full year revenues in 2025 and 4 of our 5 segments grew revenues in the fourth quarter. The now exited Games Publishing business reduced Tech & Shopping segment revenues by $2.5 million in the fourth quarter and by $4.9 million in full year 2025. However, the 2025 year-over-year revenue decline associated with the Games Publishing business was approximately $14 million, reflecting an approximately 1% drag on consolidated revenue growth. This revenue decline also had a high negative flow-through impact to adjusted EBITDA. Please refer to Slide 13 to review our balance sheet. As of the end of 2025, we had $607 million of cash and cash equivalents and $93 million of long-term investments. We also have significant leverage capacity on both a gross and net leverage basis. At year-end, gross leverage was 1.8x trailing 12 months adjusted EBITDA, and our net leverage was 0.5x and 0.3x, including the value of our financial investments. During the fourth quarter, we bought back 1.75 million shares for $60.6 million. In fiscal year 2025, we deployed nearly $174 million to repurchase approximately 4.8 million shares. And during the course of 2025, we reduced the number of shares outstanding by more than 10%. Since January 1, 2026, we repurchased approximately 740,000 additional shares, and we believe that at the current valuation level of Ziff Davis' stock, share repurchases continue to offer an attractive use of our investable capital. Our recent share repurchase activity nearly exhausted our existing stock repurchase authorization. However, this week, our Board of Directors increased our stock repurchase authorization by 10 million shares, bringing the total amount currently available for repurchase to 10.7 million shares. This authorization is valid until February of 2036. Please note that given our current active review of potential value-creating opportunities, there may be periods of time when we are not able to repurchase shares under this authorization. During 2025, we closed a total of 7 acquisitions across our businesses, investing a total of $68.7 million net of cash received to support our M&A program. We anticipate we will continue to be an active and disciplined acquirer in 2026 as opportunities arise to add capabilities to our businesses in an accretive manner. Looking ahead to the balance of 2026, we are intently focused on delivering profitable growth, robust adjusted EBITDA margins and strong free cash flow generation. As Vivek discussed, due to our current review process, we are not providing formal full year 2026 guidance at the present time. However, I'd like to offer some insight related to our expectations for the first quarter of 2026. We expect first quarter 2026 consolidated year-over-year revenue growth to be relatively flat or slightly negative. as the continued headwinds in the affiliate commerce revenues in our Tech & Shopping division that Vivek noted earlier are expected to largely offset the growth in the balance of our businesses. Given seasonality, our Q1 adjusted EBITDA margins are typically lower than our fiscal year margins and Q1 2026 margins are expected to be about 3 points lower year-over-year, primarily reflecting an anticipated year-over-year decline in Tech & Shopping revenue, a lower margin revenue mix at Health & Wellness and the continued investment in growth at Connectivity. However, Q1 adjusted diluted EPS will benefit from year-over-year drop in our shares outstanding due to our active buyback program. Our supplemental materials include reconciliation statements for our non-GAAP measures to their nearest GAAP equivalents. Please see Slide 25, which includes a reconciliation of free cash flow to net cash provided by operating activities. Our businesses continue to produce robust free cash flow. 2025 free cash flow was $287.9 million, up $4.2 million as compared with 2024. Q4 2025 free cash flow of $157.8 million was up significantly from $131.1 million in Q4 2024. And fiscal year 2025 free cash flow reflects 58.1% of our 2025 fiscal year adjusted EBITDA of $495.1 million. Stepping back a bit, Ziff Davis has made considerable financial progress over the last few years despite a challenging operating environment. Since the end of 2022, the first full year after the Consensus spin-off, we have grown free cash flow by 25%, reduced our gross debt levels by nearly 14% and lowered our year-end shares outstanding by more than 18%. During this time, we also deployed more than $300 million for 13 acquisitions, adding capabilities across all of our operating segments. And as Vivek noted earlier, we are actively working to pursue opportunities that we believe offer strong prospects to realize additional shareholder value. Although there is no assurance of any future transactions, we continue to believe that our current trading levels do not fully appreciate the intrinsic value of our businesses. We will seek to provide timely updates as appropriate. With that, I will now ask the operator to rejoin us to host our Q&A.
Operator: [Operator Instructions] And your first question this morning is coming from Rishi Jaluria from RBC.
Rishi Jaluria: Maybe just one for me to keep it. But Vivek, I wanted to expand a little bit on some of the AI search tailwinds that you talked about on Tech & Shopping. Maybe can you expand a little bit in terms of how that's progressed? This is obviously a trend we've been discussing for a while. Some of the investments that you can make to maybe capitalize on the AI search opportunity and take that kind of segment back to a better growth trajectory. And then if we think about AI search throughout the rest of your businesses, are there other parts that have proven to maybe be a little bit more resilient, whether it's health care or gaming or whatever? Maybe any color you could give as it pertains to that would be helpful.
Vivek Shah: Thanks, Rishi, for the question. And so yes, look, what I would say is generally speaking, a lot of traffic is fungible, meaning that lost search traffic can be and has been made up with other sources of engagement, apps, social traffic, video, programmatic traffic and e-mail. So the degree to which in any of our segments in the Gaming & Entertainment and Health & Wellness segments, in particular, we're able to offset search traffic declines. Where that has become really hard is within Tech & Shopping because the one type of traffic that really is hard to replace as high-intent consumers who arrive via search looking for a product or a service and then clicking through to make a purchase. That's the affiliate commerce and affiliate commission business. And so that particular traffic is harder to replace, though I'll talk about things that we're doing to offset. But that is harder to replace, and that is very much concentrated in our Tech & Shopping segment. In fact, just to dimensionalize it a little bit. So we did in 2025, roughly $90 million in affiliate commerce commissions related to organic traffic. That was down about $25 million year-over-year, and half of that $25 million was in Q4. So it gives you a sense of kind of the impact and what's going on within Tech & Shopping. From an offset point of view, and as I said, look, I think this is something that will start to materialize in the second half of this year, app traffic, browser extension traffic and then other forms of monetization outside of affiliate commerce around video, licensing, events and broader display. So a variety of things that mix. But the high level is where we're seeing search challenges show up, we're really seeing it within this Tech & Shopping segment.
Operator: Your next question is coming from Ross Sandler from Barclays.
Ross Sandler: Yes, that was really helpful on that $90 million. So that's about 25% of that segment's revenue in 2025. Can you just talk maybe about like the percent of traffic like and when we see -- it sounds like from your guidance, the kind of unwind of SEO traffic is peaking right now. And by the second half of '26, it should be less of a headwind. Is that the right way to think about it? And then the second question is just on the 300 bps of margin contraction in the first quarter. I guess just how do we think about in light of the declining kind of high-margin SEO-related traffic, how do we think about your ability to kind of contain the cost structure and these margins kind of moving forward?
Vivek Shah: Yes. Thanks, Ross. I'll answer your first one and then ask Bret to share some comments on the second one. But -- so just taking a step back, Tech & Shopping, obviously, is the challenge, was the challenge in Q4, will continue to be the challenge in 2026. Don't want to lose sight of the fact that the other 4 segments grew nicely in Q4 of 2025, and we believe will continue to grow in 2026. Within Tech & Shopping, the affiliate commerce piece is one of what I would refer to as 3 challenges within the business and worth describing and talking about the other 2 for a moment. So remember, we have the B2B business that's inside of the Tech & Shopping segment. You'll recall that our strategy in 2025 was to intentionally contract revenue at a rate that would be less than the contraction of expenses. In other words, we would cut more expenses than revenues, and we did that. So in 2025, the B2B revenues were down $11 million year-over-year, but the EBITDA was up close to $6 million and positive. So that strategy of shrinking the footprint of that business, cutting out certain products and service lines has worked, but shows up as a revenue drag. I just want to point that piece out. The last one is the published -- the Game Publishing business that's still a residual business that stayed within Tech & Shopping, which Bret pointed out, we sold, we're out of. That was like a $14 million, $15 million -- $14 million year-over-year bad guy in 2025 as well. So those are just 2 things to just point out as we think about '26 versus '25 that as we lap these things are going to be beneficial. But then yes, look, I think the belief that the pain that we're seeing on the affiliate commerce side in Tech & Shopping will start to improve in the second half, both because of comps as well as other initiatives, again, video monetization, licensing, building out traffic in both the RetailMeNot app and browser extension. And that collection brings the overall challenge of Tech & Shopping to being sort of more of a -- from a full year point of view, kind of a low single-digit decliner, but still a decliner.
Bret Richter: And Ross, I think on margins, I think what I'd say is almost widen the lens for a moment. If you look back over the last several years, despite various puts and takes in the business, we've been able to largely maintain margin. It's been a deliberate effort across the company, looking at the way we do business as business dynamics change. I think as Vivek pointed out, within Tech & Shopping, we've recently shown one, our ability to do that in B2B, which has been a consistent source of revenue pressure for the last several years and taking action to look at how we run the business and maintain margin and produce margin, taking some actions on some drags like Humble Games. And then in the first quarter, I think what we're largely looking at is just the flow-through impact of some of that revenue softness, coupled with a little bit of mix change in some of the other businesses. And then as we look at -- I'm sorry, as we look at the company overall for fiscal year '26, as Vivek noted, in our view, it's kind of a little bit of a first half, second half story. And overall, if we progress as sort of anticipated, we think we'll be in the range of delivering upon what we said.
Operator: [Operator Instructions] And your next question is coming from Shyam Patil.
Shyam Patil: I had one on Tech & Shopping and one on M&A. Just on Tech & Shopping, Vivek, I know you guys have talked about there being a lot of moving parts in that business for this year. But how do you think about kind of what's the right growth rate or growth range for that business going forward, not just in '26, but just from a high-level perspective, what kind of growth rate do you think that business should have margin profile as well? And then on M&A, where do you see opportunities this year for M&A? Just kind of curious which segments, which pockets?
Vivek Shah: Yes. No, great question, Shyam. So I'll start on the long-term outlook on Tech & Shopping. And I don't believe it should be very different than our other Digital Media segments, principally Gaming & Entertainment and Health & Wellness. And so I think it should be a mid-single-digit grower. But again, I think we have to get through this phase where the search challenges within the affiliate commerce business that, by the way, was a business we created from scratch when we first bought the assets that make up a lot of this segment. And so look, we were very successful in creating a new form of monetization when we initially acquired a lot of the assets in this category. And I think we're very confident that we will find new forms of monetization within these brands. And by the way, when we talk about Tech & Shopping, we're talking about market-leading brands. CNET Group and RetailMeNot Group are leaders in their respective categories of Technology & Shopping. With respect to M&A, look, we believe that the market fear in digital media is actually presents us with a pretty unique opportunity to be an active buyer in this space. Look, the valuations are compelling. You see our own, and we're an at-scale diversified entity. You can imagine what businesses that don't have our scale of diversification, they ultimately trade for. And I think there's -- I think the fear is overly pronounced. And while there are certainly headwinds and we're experiencing those within our business, we've shown a fair amount of resilience in the face of these pressures and believe we've got a pretty good track record in business transformation and managing these really high-quality brands. And that's the key is going to -- our focus from an M&A point of view are really high-quality brands in high-value categories. So look, we've got the cash. We certainly have the free cash flow generation. And so we're going to continue to look for attractive opportunities. And so I think both things can be true, by the way, that we can be very focused on opportunities within the M&A landscape while we continue in the strategic review process to unlock value for shareholders.
Operator: Your next question is coming from Danny Pfeiffer from JPMorgan.
Daniel Pfeiffer: For the first, as you have discussions with outside advisers on the sale of businesses, can you provide any color on what divisions prospective buyers have been looking at the most? And then for the second, putting the AI headwinds aside, can you provide us with an update on the broader trends you're seeing in the ad market today?
Vivek Shah: Yes. So listen, look, we wish we could share more. But look, as we said in our prepared remarks, it's an active process. We promise and we're going to provide updates as and when we're able to. But right now, that's all I can really say at this point. On your question about the ad market, and I often say, look, for us, at least the ad market is not 1 market, it's 3. And I would say that if you unpack each of those, so we take Gaming & Entertainment last year, roughly 5% ad revenue growth. I think that will be consistent going into 2026. Health & Wellness had a very strong double-digit advertising growth rate in 2025. I think that will moderate a bit, be more sort of mid-single-digit range. Remember, in 2025 for us, within the Health & Wellness business, we had some acquisitions that accelerated some of that revenue growth. So the organic, I think, is mid-single digits. So I think both Gaming & Entertainment and Health & Wellness, which is largely pharma, is good. And I think we're happy with where we are there. It's the Tech & Shopping experience, which, again, I would bifurcate kind of the affiliate commerce from the non-affiliate commerce. I think the non-affiliate commerce, we feel pretty good about. It's the -- and the non-B2B, I should point out. But it's the affiliate commerce piece that we're going to have to work through a couple of quarters of challenges before we get to kind of the other side of that.
Operator: [Operator Instructions] Your next question is coming from Robert Coolbrith from Evercore ISI.
Robert Coolbrith: Can you speak more directly to both the traffic and the value at risk in Health & Wellness from search in general as well as some -- there's some concerns, I think, in the market around AI-based competition on the clinician side. So if you can maybe talk a little bit about that as well. And then finally, just to go back to M&A as both a buyer and seller, just given the level of AI-related uncertainty as well as the embedded call option on AI licensing, do you see that sort of freezing up the market? Or are you and potential counterparties able to sort of see through that, work through that?
Vivek Shah: Great questions, Rob. So with respect to the search dynamics within Health & Wellness, that's not an area that I'm really concerned. Much of the inventory within that segment is not search based. So we have our partnership, our hospital ad network, Mayo Clinic and Cleveland Clinic and hopefully soon adding some more to that network. We do these custom condition centers, which really don't rely on search engine traffic. We have our direct-to-provider business, which is largely e-mail and other forms of physician engagement. So with respect to H&W, Health & Wellness, I'm not concerned about whatever the search dynamics are. And so what I would say is that it's more of a pharma commercialization business where we work with pharma to commercialize their drugs and to drive patient adherence as well as helping influence doctors' understandings of the prescription opportunities that are available to them. I think with respect to your question on AI and M&A, look, I think that deals can be done, and I understand your point, which is some folks may be holding out just given that there could be a potential windfall on the AI licensing front and so may not be willing to transact right now. And I think it's a balance. Look, that's certainly a question that's out there that until we really understand what the revenue framework and potential is around licensed content for LLMs, you may have certain owners of content assets skittish about transacting. That's certainly out there. On the other hand, I think there are folks who just sit there and say, look, it's a difficult market, might be time for them to concede or to capitulate or they find it difficult to sort of bridge where they are to where they want to go, and that will be an opportunity for us. So look, I think it depends. I don't think there's one answer. That's certainly come up because people view it as "a free option" on AI licensing revenues in the future, but we'll see. And look, I think more broadly, I do think that there aren't as many buyers positioned the way we are positioned in terms of balance sheet capabilities, skill set, platforms and frankly, interest in these assets.
Robert Coolbrith: Got it. And just if we could go back to the growing AI footprint or the footprint of AI tools on the clinician side. Are you seeing any impact there or no real impact?
Vivek Shah: It's a good question. I mean I certainly believe that physicians like pretty much everyone else are using these AI tools in their day-to-day. And look, I think that obviously is something that will present, I imagine, marketing opportunities, et cetera. And so look, yes, look, I think that any and all tools that attract physician attention are valuable tools. And so we think we have valuable news, information, continuing medical education. The advantage of continuing medical education is providers need to get their CME credits. So we feel pretty good about a physician engagement platform that is tied to the need to get CME credits.
Operator: And there are no further questions in queue at this time. I would now like to hand the call back to Bret Richter for any closing remarks.
Bret Richter: Thanks, Tom, and thanks, everyone, for joining us today. We appreciate your ongoing investment and time, and we look forward to speaking with you in the next couple of months and in our upcoming Q1 earnings call.
Operator: Thank you. This does conclude today's conference call. You can disconnect your phone lines at this time, and have a wonderful day. Thank you once again for your participation.